Operator: Good day, everyone, and welcome to the Nucor Corporation Second Quarter 2016 Earnings Call. As a reminder, today's call is being recorded. Later, we will conduct a question-and-answer session, and instructions will come at that time. Certain statements made during this conference will be forward-looking statements that involve risks and uncertainties. The words we expect, believe, anticipate and variations of such words and similar expressions are intended to identify those forward-looking statements, which are based on management's current expectations and information that is currently available. Although Nucor believes they are based on reasonable assumptions, there can be no assurance that future effects – events will not affect their accuracy. More information about the risks and uncertainties relating to these forward-looking statements may be found in Nucor's latest 10-K and subsequently filed 10-Qs, which are available on the SEC's and Nucor's website. The forward-looking statements made in this conference call speak only as of this date, and Nucor does not assume any obligation to update them either as a result of new information, future events or otherwise. For opening remarks and introductions, I would like to turn the call over to Mr. John Ferriola, Chairman, Chief Executive Officer and President of Nucor Corporation. Please go ahead, sir.
John J. Ferriola - Chairman, President & Chief Executive Officer: Good afternoon. Thank you for joining us for our conference call. We appreciate your interest in Nucor. With me for today's call are the other members of Nucor's senior management team: Chief Financial Officer, Jim Frias; and our other Executive Vice Presidents, Jim Darsey, Ladd Hall, Ray Napolitan, Joe Stratman, Dave Sumoski, and Chad Utermark. Our leadership team in Charlotte would like to thank everyone on our Nucor Harris Steel, David J. Joseph, Duferdofin, NuMit, Steel Technologies, and Skyline Steel teams for a job well done in the second quarter. Taking advantage of our unrivaled competitive position and our highly flexible business model, you are positioning Nucor to thrive today and most importantly in the years ahead. Thank you. CFO, Jim Frias, will now review Nucor's second quarter performance and financial position. Following those comments, I will update you on the execution of our strategy for long-term profitable growth. Jim?
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: Thanks, John. Second quarter of 2016 earnings of $0.73 per diluted share exceeded our guidance range of $0.65 to $0.70 per diluted share. This performance represents a significant improvement over first quarter 2016 earnings of $0.22 per diluted share and year-ago second quarter earnings $0.39 per diluted share. Second quarter results included a LIFO charge of $19 million which was in line with our guidance. This compared with the first quarter of 2016 charge of $28 million and a year-ago second quarter credit of $96 million. Our steel mill segment was the primary driver of our second quarter profit improvement with the largest gains at our sheet mills. Quarter-over-quarter profit growth was also achieved at our plate and bar mills. Nucor's Steel Making Operations benefited from both volume growth and higher metal margins. Second quarter total steel mill shipments increased 5% over the first quarter of 2016. Our overall steel mill metal margin expanded by $16 per ton in the second quarter compared to the first quarter. Our downstream products segment also delivered strong earnings growth in the second quarter from the first quarter and 2015 second quarter levels. Nucor's steel products business benefits from our market leadership positions and our diversified product portfolio. The strength of Nucor's downstream products business model allows us to profitably leverage a modest improvement in non-residential construction markets. Performance at our raw materials segment also improved in the second quarter compared to the first quarter. David J. Joseph Company scrap brokerage and scrap processing businesses were solidly profitable in the second quarter. The improvements at DJJ's recycling business were three-fold. First, scrap pricing improved. Second, utilization and volume flows increased to support our steel mills' increased production. Third, our scrap processing team has done excellent work achieving efficiency improvements and cost reductions throughout their operations. Our direct reduced iron or DRI facilities achieved significant quarter-over-quarter improvement in their financial performance. At the same time, our raw materials teams continued to enhance Nucor's overall profitability by working with our steel mills to optimize the cost of their iron units, Maintaining Nucor's position as the low cost producer across our raw materials, steel making, and steel products businesses is an unrelenting focus for all of our teams. Our tax rate can be confusing due to the impact of profits from non-controlling interests. Excluding profits belonging to our business partners, the effective tax rate was approximately 32.5% for the second quarter of 2016. Nucor's financial position remains strong. Our gross debt-to-capital ratio was 35% at the close of the second quarter. Cash and short-term investments totaled approximately $2.3 billion, which compares with total debt outstanding of $4.4 billion. Nucor's strong liquidity position also includes our $1.5 billion unsecured revolving credit facility, which remains undrawn. The facility does not mature until 2021. Nucor is the only North American headquartered steel producer to hold an investment grade credit rating. Our capital allocation priorities are clear. They have been consistently and effectively practiced over Nucor's entire history. Our first priority is to invest for profitable long-term growth that delivers attractive returns on our invested capital. Our second priority is to provide our shareholders with cash dividends that are consistent with our success in growing Nucor's earnings. Our third priority is to opportunistically repurchase our stock when our cash position is strong and attractively-priced growth opportunities are limited. We expect further strong improvement in earnings in the third quarter of 2016. The steel mills segment will benefit from contract pricing resets in the third quarter at our sheet mills. Contracts currently represent about 60% of Nucor's sheet mill volume. The steel products segment continues to experience positive earnings momentum. Particularly strong profit growth is being realized at the Rebar fabrication and metal buildings businesses. All of our steel products teams are doing excellent work managing the challenge of this year's rising steel price environment. The raw materials segment's performance is expected to achieve profitability in the third quarter of 2016. Our DRI facilities will be profitable, benefiting from improved product pricing, lower iron ore cost, and continued gains in yield performance. Our Trinidad and Louisiana plants are now consistently performing at what we believe to be world-class conversion cost levels. Our David J. Joseph Company's scrap business should also benefit from the more favorable scrap pricing environment that has been in place since the spring of this year. We are confident that Nucor's significant competitive advantages and highly adaptable business model will allow our team to continue to execute our proven strategies for delivering profitable long-term growth and attractive returns to Nucor shareholders. We appreciate your interest in our company. John?
John J. Ferriola - Chairman, President & Chief Executive Officer: Thanks, Jim. Nucor's strategy for profitable growth is simple, flexible and focused. It is one that we've implemented for more than five decades. Nucor capitalizes on its unrivaled position of strength to gain profitable market share in our core businesses of steel and steel products. We are doing this by taking care of our customers, delivering an unrivaled value proposition for our customers is how we earn attractive returns on our shareholders' valuable capital. Anchoring our strategy are Nucor's five drivers to profitable growth, they are: strengthen our position as a low cost producer; achieve market leadership positions in every product line in our portfolio; continue to move up the value chain by expanding our capabilities to produce higher quality, higher margined, more import resistant products; expand and leverage our downstream channels to the market to increase our steel mills' base load volume, especially in weak markets; and achieve commercial excellence to complement our traditional operational strength. Our strategy for profitable growth is working. It is paying off today with the potential for much larger returns in the future. I will now update you on highlights of our recent progress. Nucor's steel mill volume growth in 2016 highlights our success in gaining profitable market share. For the first six months of 2016, our steel mill production increased 13% over the year-ago period. That compared with the U.S. steel industries decrease of approximately 1% over the same period. This profitable growth did not just happen. It is the result of our highly flexible and low cost production capabilities, our unrivaled product breadth and diversity, our investments that have allowed us to move up the value chain, our execution of our channel to market strategy, and most importantly, the hard work done by my more than 23,000 Nucor teammates. The best news is that we are far from finished executing our strategy. There's a lot more to come. We are adding cylinders to Nucor's engine for generating higher highs and higher lows in earnings and cash flow. As always, our objective is delivering attractive returns on our shareholders' valuable capital. Demand is growing for our Berkeley County, South Carolina sheet mills new wide light products. After shipping approximately 160,000 tons of wide light products in 2015, Berkeley is on track to ship about 270,000 tons in 2016. That's up from their earlier target of 240,000 tons for this year. This wide light product capability is allowing us to produce more grades of advanced high-strength steels for the automotive market. We are also using a wide light products to gain share in a number of other targeted markets ranging from appliance to motor lamination to welding wire. Now, our Nucor-Yamato joint venture is continuing to expand its value-added structural steel product portfolio. Last year, Nucor-Yamato began shipping its wider sheet piling sections. These wider sections are lighter and stronger covering more area at a lower installed cost. Prior to our entry, this market had been largely served by imports. Nucor-Yamato is marketing new sections to our piling distribution business, Skyline Steel. Nucor-Yamato's NZ sheet piling sections are already enjoying strong marketplace success. Through the first half of 2016, shipments on the new wide sheet piles have more than tripled to over 19,000 tons. Two of the four wider sheet piling product groups have now been commercialized. The two other groups will enter production by the end of this year. Nucor-Yamato's goal over the next several years is to grow our wider sheet piling annual volume to 100,000 tons. Nucor-Yamato is nearing completion of another growth initiative expanding its value-added structural steel product offerings. A $75 million project, adding Quench and Self-Tempering technology, will position Nucor-Yamato as the sole North American producer of high-strength, low-alloy beams. Our initial trial production is scheduled to start in September. Trials across the entire range of high-strength, low-alloy beams are expected to be completed by the end of next year's first quarter. These beams allow the use of lighter foot weights, which reduces the weight and cost for the builder, that enhances the competitiveness of steel versus concrete and wood. Nucor-Yamato's target over the next several years is to grow its high-strength, low-alloy beam annual volume to 50,000 tons. During the second quarter, our Memphis SBQ bar mill completed installation of its heat treating equipment and began running trials of new value-added products. This expands our capabilities to include quench and tempering as well as the kneeling of bars from 2 inches and 1.5 inches to 12 inches in diameter. I would like to thank our SBQ bar mill and downstream cold finished bar teams for their excellent work maintaining profitability in adverse market conditions, while also building for future growth with their numerous initiatives moving us up the value chain. During the second quarter, our Vulcraft/Verco joist and decking business announced plans to expand its geographical reach into Canada. Vulcraft Canada, our first Vulcraft facility in Canada will be located near Hamilton, Ontario. It will manufacture steel joist, joist girders and decking. We expect to start producing deck by the end of this year, with joist production starting in the first quarter of next year. Effective implementation of Nucor's vertical integration and channel-to-market strategy is a key competitive strength and an attractive growth platform for our company. In June, Nucor formed a 50-50 joint venture with JFE Steel of Japan to build and operate a facility to produce galvanized sheet steel for the growing Mexican automotive market. The plant will be strategically located in Central Mexico. It's expected to have a cost of about $270 million. Operations are expected to begin in the second half of 2019. Annual capacity will be approximately 400,000 tons of galvanized sheet steel. It's important to note that Nucor and JFE will each supply an equal amount of substrate to be processed at the facility. We are excited to begin what we expect to be a long-term partnership with JFE Steel, a premier supplier of high-quality automotive steels. Yesterday, we announced an agreement to acquire Joy Global's steel plate mill in Longview, Texas for approximately $29 million. Annual capacity of that facility is about 180,000 tons. The mill produces specialty plate products, ranging from 1 inch to 12 inches thick and up to 138 inches wide. Complementing our existing plate mills product capability reaching up to 3 inches thick and 120 inches wide, the Texas mill will enable Nucor to capture a growing share of niche value-added plate markets. We are confident, our plate commercial team will be able to leverage this expanded product portfolio to grow our overall plate business. All of these investment projects have the same very simple objective, creating attractive long-term value for our customers, our teammates, and our shareholders. That discipline drives every capital allocation decision we make at Nucor. Our disciplined approach to being effective stewards of our shareholders' capital also requires that our team tackles significant challenges to our business. To that end, Nucor continues to be proactive and aggressive in pursuing trade cases when and where it is appropriate. When farm producers and governments break mutually-agreed-upon laws governing trade, there must be meaningful consequences. Utilizing trade remedies is not protectionism. Trade enforcement is absolutely critical to drive the change towards a market-based system. A market-based system is one where our efficiency and innovation determine which producers win and which producers lose. We are encouraged by recent actions taken by the U.S. government that paved the way for the imposition of much needed antidumping and countervailing remedies in some products against some countries breaking U.S. and international trade laws, but there remains much more work to be done. As always, Nucor is up to the challenge and we'll continue fighting hard for free and fair trade. I would like to close my remarks by expressing my thanks to our teams at our DRI plants in Trinidad and Louisiana for what they have achieved for Nucor. Your facilities today produced the highest-quality and lowest-cost DRI in the world. Your hard work and perseverance are absolutely critical to our company's success in continuing to move up the value chain. Thank you, and please keep it going. We would now be happy to answer your questions.
Operator: Thank you. We'll take our first question from Matthew Korn with Barclays.
Matthew J. Korn - Barclays Capital, Inc.: Good afternoon everybody. Thanks for taking my questions.
John J. Ferriola - Chairman, President & Chief Executive Officer: Hello Matt, how are you?
Matthew J. Korn - Barclays Capital, Inc.: I'm all right. I'm all right, John. So, we're all watching the import numbers carefully. I'm wondering, do your customers show indication to you and expectation that they think availability of imported steel is going to meaningfully increase over the rest of this year?
John J. Ferriola - Chairman, President & Chief Executive Officer: Actually, the feedback that we hear from our customers is that it's frankly the opposite. But our customers are telling us that when they look at the final landed price of the import offers, the difference isn't great enough to justify the risk. The other point that I would make is when you look at where we are in this – where we are this year, and our customers buying imports today, placing the orders today, can't really expect the deliveries until sometime in mid – somewhat – either early fourth quarter or mid-fourth quarter. And at that point, best time to think about the year-end inventories. So, I think, there's a bit of a hesitation to do too much on the ordering on the import side as a result of that concerns over their year-end inventories. I also would point out a little bit about the – there's some availability issues and the volumes are less available that are out there today, a lot as a result of the trade cases, the successful prosecution of the trade cases that we've had particularly in sheet, but in some of our other products and also a concern that our customers have over the other trade cases that are currently in process. So, based on all of that information and from feedback we're getting from our customers, we don't see that as a major concern at this time.
Matthew J. Korn - Barclays Capital, Inc.: Got it. Thanks. It's very helpful. Let me follow-up this way if I could, on scrap...
John J. Ferriola - Chairman, President & Chief Executive Officer: Sure.
Matthew J. Korn - Barclays Capital, Inc.: ...how do the flows to the shredders look so far this summer? So, when you look at the moving pieces, the export demand, or lack thereof, competition from cheap Chinese semis, the high utilization rates from you and the other EAF producers, do you see much upside risk to scrap prices over the rest of the year?
R. Joseph Stratman - Executive Vice President, Business Development: Matthew, this is Joe Stratman. Let me take a shot of that. The flows have been improved through the course of the year, as you might imagine. The increased demand from steel mills across the country raised prices, and with the price increases flow followed into the scrap yards, which is the normal trend. At this point, with the currency exchange, the strength in the U.S. dollar, the weakness in Europe, in other words, so there's a lot of scrap available in Europe, and the Chinese billets moving around the world, the trade flows there, I don't see a lot of upside pressure on scrap. But similarly, the demand – the robust demand for domestic steel mills, I think, also keeps the demand side level, and that we have reached a pretty good point of supply and demand, where we would view a lot of stability in the last half of the year on scrap pricing.
John J. Ferriola - Chairman, President & Chief Executive Officer: And Joe, what I might add to that, when you think about our DRI facilities and the leveling effect that has to our company, and frankly, for the industry as well, as some of the pig iron imports that we've been bringing into the country also could be a stabilizing factor.
R. Joseph Stratman - Executive Vice President, Business Development: Absolutely, John. As I mentioned, the strength of the dollar and the supply available of scrap in Europe, but also as John mentioned pig iron, from both Brazil and from Eastern Europe, and Russia, the supply is pretty stable right now. And also, as John answered in the first part of your question, we think the demand outlook is also good and not negative in any way. So, supply demand on the scrap side should keep stability there for quite a while we think.
Matthew J. Korn - Barclays Capital, Inc.: All right. Thanks, gentlemen.
Operator: Our next question comes from Evan Kurtz with Morgan Stanley.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Hi. Good afternoon, everyone.
John J. Ferriola - Chairman, President & Chief Executive Officer: Good afternoon, Evan. How are you?
Evan L. Kurtz - Morgan Stanley & Co. LLC: Great. Great. Doing well. Thanks. First question's on trade. We've seen some success on the sheet side. And I was wondering, what are the timing if we wanted to do more incremental work on trade on the sheet products? So, one thing that kind of comes to mind is we saw results from coated, some of the results from cold-rolled, and some of the countries are getting similar duties, not many, but Taiwan for example in coated. And I think, we'll probably see some cold-rolled results pretty soon, maybe there'll be another hole or two there. For these types of countries already entering that, maybe some of the Taiwan offers are back in the market again, now that we've gone after them, and they kind of escaped at least this initial round of cases, how long does the industry have to wait before they can go after them, again, if they do to start to tick up in the future? And then kind of the same question on countries that make cheap products that weren't named in the initial cases. Because maybe they weren't big suppliers of the U.S. market, but now that some other guys can't sell into the U.S market, they're stepping up and hearing just some talk about cold-rolled coming in from Vietnam and maybe a couple of the European countries, the numbers are starting to tick up a little bit. Is there anything preventing the U.S. industry from going after a fresh round of cases on the same product from different countries?
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, to answer that question directly, the answer would be, no. Certainly, if we see an uptick, and the uptick comes with product that is priced at dump levels, then we believe that there's a violation of our trading laws, then we certainly would go – would go after that. And I know that about that. The other point that I would want to make, proceeding to the question is when you mentioned there are other countries stepping into supply, such as Vietnam or some new suppliers, bear in mind that they're untested, they won't qualify in many of these applications, through extensive qualification period, and you're taking a larger risk. When you look at – and frankly, the pricing that's coming in is higher from those countries. So, when you combine the higher price with the increased risk with the less places where it can be applied because of qualifications, we don't see that much as of a threat. But, however, to your point, if we do see an uptick in it, and we do see it coming in at dump prices, or we see it coming in from countries that are receiving large subsidies from their governments, or in any other way violating our trade and international trade laws, then we are certainly free to take action. And to your point about moving to the smaller suppliers, bear in mind to the fact that we were able to be so successful against the big boys, the big suppliers, the ones who were bringing in large volumes of steel at incredibly dump prices. When you take that out of the equation, we certainly don't have any problem competing with product coming in at fair prices from other countries as long as they adhere to the trade laws.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Got it. Okay. Thanks. And then maybe just a quick one for Jim. Corporate expense was pretty high this quarter, and I know it's very lumpy. Just wondering what might have been driving that, and if we should expect that to return that to normal by next quarter?
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: Well, the biggest driver in the year-to-date difference is LIFO. LIFO went from $112 million credit to a $46.5 million expense. That's about $160 million swing of the total difference of $230 million, roughly. The next biggest drivers probably the profit on intercompany sales. We always have some volume of intercompany inventory at our downstream businesses. And with our steel mills having higher margins, we have to take a charge to write that inventory value down to its cost of production. And so, there's a takeaway there from the profits still in those segment. And then finally, we do have a significant part of our pay across the company, including our profit sharing for the retirement accounts of our workforce, that's driven our profitability. It says probably $25-ish million of the difference is profit sharing and incentive comp being in spite of the fact we're making more money. It's a good thing, but more than that, number's changing, happy our shareholders are.
Evan L. Kurtz - Morgan Stanley & Co. LLC: All right. Thanks for the color, guys.
Operator: We'll take our next question from Curt Woodworth with Credit Suisse.
Curt Woodworth - Credit Suisse: Hi. Good afternoon.
John J. Ferriola - Chairman, President & Chief Executive Officer: Good afternoon, Curt.
Curt Woodworth - Credit Suisse: John, I was wondering if you could just talk to the strength of your sheet order book right now. How are lead times looking, say, relative to a month ago? And there's been some discussion around – for you guys with quarterly contracts if the service center buyer wanted to try to pre-buy ahead of what is going to be a very sizeable increase in their ASP price. This quarter are you seeing any evidence of that?
John J. Ferriola - Chairman, President & Chief Executive Officer: All right. Let me address your first question. When we look at our bookings on sheet, when we talk about cold-rolled and galvanized, frankly, they're rock solid. We are way out probably to...
Unknown Speaker: Late September.
John J. Ferriola - Chairman, President & Chief Executive Officer: ...late September – somewhere around late September. So, we're looking really good on the cold-rolled and on the galvanized. On the hot-rolled side, we're seeing a little bit more pressure, but that being said, on the hot-rolled side, when we look at the service center inventory levels, they're extremely low. And with the reduced imports and some of our competitors shutting down operations, we see reduction in supply. So, although we are seeing a slowdown in the order entry rate for hot-rolled, and it's a little bit more challenged in cold-rolled or galv, we're still pretty comfortable with where we are in the hot-rolled market.
Curt Woodworth - Credit Suisse: Okay. That's great. And then second question just on sort of the M&A pipeline. It seems like there's definitely a hunt on for downstream acquisitions in the industry. And I think one school of thought has been, potentially trying to acquire pipe and tube assets to leverage the hot-band capacity that people have. Is that something that you guys would entertain, and can you just kind of talk to how robust your pipeline is right now for acquisitions?
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, we've mentioned several times that part of our bold strategy is to enhance our channels to the market, and with that, a very successful track record of utilizing our downstream operations, not only to get to the final customer as a channel to the market, but also as very, very strong profit generators in their own like. So, we're always open to that. I wasn't – we're open to many opportunities, always out there looking for where we can invest our cash for – in long-term profitable growth. So, I'm not including anything, I'm not excluding anything, and I'm not going to comment anything in particular. But one area that we are focused on, and you'll be more from us as how we continue to increase on our hot rolled, which you mentioned specifically, where we would be with our hot rolled, we continue to invest in our hot rolled to a highest quality level. Some of the field work that we're doing in Gallatin today is investing to take it out of simply the pipe and tube market and get it into higher quality downstream businesses. So, general answer, we're interested in everything, we look hard at everything. You heard us say that we have a very focused and flexible investment strategy, growth strategy. And we'll look at whatever comes along. We don't have any strong preferences to any particular downstream business.
Curt Woodworth - Credit Suisse: And could you just remind us what your hot-rolled mix is relative to the value-add sheet in the sheet business?
John J. Ferriola - Chairman, President & Chief Executive Officer: Yeah. it's about – hot rolled is about 60% – 60% to 65% of our total sheet business.
Curt Woodworth - Credit Suisse: Okay. Great. Thanks very much.
Operator: Our next question is from Timna Tanners with Bank of America Merrill Lynch.
Timna Beth Tanners - Bank of America Merrill Lynch: Hi, guys. Good afternoon.
John J. Ferriola - Chairman, President & Chief Executive Officer: Good afternoon. How are you?
Timna Beth Tanners - Bank of America Merrill Lynch: I'm great. Thanks. I wanted to ask you a little bit more about your product mix. If you could drill down, just looking at your data here, we're kind of surprised to see the structural number decline. And even the sheet number bounced a lot, I think, as was discussed, the 550 average is much lower than where the spot market's been, even just for HRC. And I know there's a lag, but are we missing something, or is there any other reason why that average sheet price is so much lower? Even looking at CRE numbers, I can't quite reconcile, and so just wondering, if you could give us a little more color?
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, you hit the nail in the head when you talked about our contract pricing. We have a very large percentage of our sheet business on the contract, and it does lag. And most people tend to just think about it as a single month lagging, but when you add into the lead times that are involved, you have to really extend that out a little bit. So, when it comes to the questions of pricing on sheet, I would say that without a doubt, the issue there is of large percentage of contract pricing, and we expect to have – to fix that up in the third quarter. So, we're looking forward to that happening. On the question about structural, we had a nice jump in our structural percentage from quarter-over-over last quarter. So, it's not unusual for us to see a smaller jump quarter-over-quarter in second quarter over first quarter.
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: Yeah. But, Timna...
Timna Beth Tanners - Bank of America Merrill Lynch: Can you talk about the pricing on – yeah, okay.
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: Yeah. Just a comment, overall demand for structural products year-over-year is up about 3% or 4%. Our Nucor shipments of structural steel is up about 15%. So, while quarter-over-quarter, we dropped just a tad, a significant part of that was some major outages that we had at Nucor-Yamato.
Timna Beth Tanners - Bank of America Merrill Lynch: Just to be clear, I was asking about prices. Are you – or was there may be a mix shift or something that caused that decline. Is that what you're saying?
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: Obviously, mix can play a huge role in our pricing on our structural side, yes.
Timna Beth Tanners - Bank of America Merrill Lynch: Got you. Okay. And then last quarter, I asked a question, I'm going to ask the same one again, make it nice and easy for you. So, you're running at 2.4 million tons of sheet in the first quarter, and you're at 2.5 million tons. So, you did ramp up, as we discussed. But I'm still perplexed as the answer then you said was 11.5 million to 12 million annualized tons is more normal, and on an annualized basis, you're still running at 10 million tons. So question is, do you have spare capacity to run more sheet in light of these tight market conditions?
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, we have limited capacity serving our cold-rolled and galv. And I would say, we have some capacity available on hot rolled, as we look out past the next couple of weeks. One of the other things, Chad mentioned the issue of mix, and I'm moving the same thing up on the side of hot rolled. So, as we continue to shift our mix higher and higher on the value-added, a lot of that product runs slower on our mills, and we can deduce less number of tons. The poster child example of that would be at our Berkeley mill, with the wide and light product, moving into the advanced high strength steels. To produce the high strength steel product, takes a lot extra – takes extra time in the LMF, takes extra time in the vacuum tank degasser. And then, of course, running at those very light gauges, it takes extra time to run through the mill. So, it's basically a question of mix, more than anything else.
Timna Beth Tanners - Bank of America Merrill Lynch: So, if I understand, you're saying, on hot rolled, you may have a little more capacity, in general, but you're printing pretty full out on the more premium sheet rates, is that fair?
John J. Ferriola - Chairman, President & Chief Executive Officer: Yes, exactly.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. Thanks a lot.
Operator: We'll take our next question from Jorge Beristain with Deutsche Bank.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Hey, guys. Jorge Beristain with DB. I guess, most of my questions have been asked, but maybe you could comment a little bit about – with the Big River plant coming up in the fourth quarter this year or 1Q 2017. The current supply tightness that we're seeing in the market, are you bracing for any kind of impact of new supply coming into the market?
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, you just found the panic to everybody in this room. We thought we thought one of our cell phones went off. Whosever phone that was? And that's what all the chuckering is about. Everybody reached for their cell phones in their pockets. But, so going back to your question about Big River Steel coming on line, certainly, that will add supply. Are we concerned about it? We'll, it's a competitor, that's a good thing. We've had new competitors coming online and pass. Over the last several years, we deal with it. We're not afraid of competition. And I would say to you that frankly it's more than just equipment that comes online. It's – you got to have the relationships with the customers. You've got teammates who understand how to make the products. You have to – we have advantages, such as our diversity. An advantage that, I believe, we would have over them or other competitors is our vertical integration, and our ability to take advantage to that vertical integration. So, we'll – they'll come online, we'll deal with them. And one of the things that is nice about having extra competition that's coming from the domestic source is they do play by the same rules as us, and they can't cheat, and we like that. So I'll take extra competition from the U.S. suppliers and international on any day or week.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Great. Sorry, and I have to apologize that was my phone, so I apologize, sorry.
John J. Ferriola - Chairman, President & Chief Executive Officer: Okay.
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: Okay. Just trying to comment...
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Murphy's law. The other question I had was just maybe on supplier discipline within the U.S. market. Are you hearing that everybody is adhering to their official list prices, or could you comment a little bit about if there's any kind of breakdown of discipline?
John J. Ferriola - Chairman, President & Chief Executive Officer: I can't comment on what other suppliers are doing, and I won't. Okay. I can only tell you what we're doing about our – in our business, so if you have a question that's specific to Nucor, they have been answered, but I can't comment on what others are doing.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Okay. Thank you.
Operator: Our next question is from Seth Rosenfeld with Jefferies.
Seth Rosenfeld - Jefferies International Ltd.: Good afternoon.
John J. Ferriola - Chairman, President & Chief Executive Officer: Good afternoon.
Seth Rosenfeld - Jefferies International Ltd.: Can we talk a little more about the outlook for your DRI facilities? And can you talk a bit more, to what extent the improving outlook for Q3 earnings is driven by your input cost and sales expectations for the period versus yield improvements as Louisiana continues to ramp up? And looking further out, can you just comment on what the cost sensitivity would be potentially widening that galv prices looking forward? Can you just...
Ladd R. Hall - Executive Vice President: Yeah. This is Ladd. I'll take a shot at that. Without question, the biggest driver of our improvement in our DRI plants are our costs and our yield improvements. They've done a superb job down there, figuring out how to take a huge amount of yield loss and out of that – for all that; second, they continue to keep a very, very high level of quality. Our steel mills are using it – learning how to use the materials better and better. And in fact, most of our steel mills with that material, they can use it far above HPI and getting very close the same quality of what the pig really is. So, we're really excited about what that is. And secondly, we don't really control the prices. Depends on ore prices, and pig prices, and scrap prices, so they have to be market competitive to do that. And to tell you that we're going to be profitable in third quarter at our DRI plants and based on our market really speaks highly of what those two plants have done.
John J. Ferriola - Chairman, President & Chief Executive Officer: And I would add just one point to that, because you ask specifically about gas pricing. And you remember that with our deals on Canada. And we have some control over there, we have some ability to mitigate the impact of gas price increasing through our own supply in Canada.
Ladd R. Hall - Executive Vice President: Not to mention, we have a long-term gas contract in Trinidad.
John J. Ferriola - Chairman, President & Chief Executive Officer: Good point also there. Thank you.
Seth Rosenfeld - Jefferies International Ltd.: Great. Thank you.
Operator: We will take our next question from Garrett Nelson with BB&T Capital Markets.
Garrett Scott Nelson - BB&T Capital Markets: Hi. Good afternoon, everyone.
John J. Ferriola - Chairman, President & Chief Executive Officer: Good afternoon.
Garrett Scott Nelson - BB&T Capital Markets: Have your CapEx or D&A expectations changed at all since last call? And could you also remind us what Nucor's companywide maintenance CapEx is?
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: We see that maintenance CapEx is in neighborhood of $350 million. And our outlook for the year remains the same, it's roughly $500 million for the year.
Garrett Scott Nelson - BB&T Capital Markets: Okay. And then on the steel mill's utilization rate, the 83% that you reported for Q2, are you still assuming the same nameplate capacity as you were before? Has that number changed a little bit?
John J. Ferriola - Chairman, President & Chief Executive Officer: Excellent question. And know that we're again – to get into the nuts and bolts, I'm not going to spend a lot of time giving further the details. But the rough answer to your question is, yes, we do keep that number constant, and that's something that we're evaluating right now as we look at how some others, we put their numbers. And we typically have the same number year-after-year-after-year, so that we can compare ourselves quarter-over-quarter-over-quarter. Others, see the typical mixes or what they anticipate their product mix to be to – for the quarter to generate a denominator, and then of course, their capacity utilization.
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: And I would add John, that our numbers are not a nameplate number, they're usually higher than the nameplate number, because at some point in time in history, we've usually gone above the nameplate number. And so, we typically report based on the peak, we could achieve in ideal circumstance with a perfect mix, not based on what the current market mix might be or other factors like that, that can influence the mix.
John J. Ferriola - Chairman, President & Chief Executive Officer: Yeah, that's absolutely correct. Frankly, we will be really disappointed if we hadn't generated production was what the nameplate said. Our goal is to exceed that at all times. Now, having said all of that, I will tell you that, the other thing that comes into play here is that, as I mentioned early in one of the other questions, mix is changing dramatically to higher quality, higher profitable products, as a result, they tend to run slower on our mills. So, we are taking a look at evaluating just where we are with that during the next quarter and perhaps resetting those numbers at the end of the year. I don't think – in fact, I'm sure we won't go to one where we'll change it quarter-by-quarter-by-quarter, we just – we don't think that's a fair way to represent our utilization. But we will evaluate where we are today based upon our new product mix that we are running the higher quality, slower running products on our mills.
Garrett Scott Nelson - BB&T Capital Markets: Great. Thanks a lot for those comments.
Operator: We'll take our next question from Phil Gibbs with KeyBanc Capital Markets.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Good afternoon.
John J. Ferriola - Chairman, President & Chief Executive Officer: Good afternoon.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: John, on the hot-rolled book, you mentioned there's a little bit of pressure there more recently maybe the lead times have come in. If they stay more limited after the summer slowdown, should we expect you guys to maybe pull forward some maintenance to maintain that sort of discipline in the marketplace? Because I know you probably have to take some in the fall anyways. Just trying to think about how you're viewing the situation?
John J. Ferriola - Chairman, President & Chief Executive Officer: We really only have one schedule right now, I think, for the quarter – it's actually not one that we pulled forward. It's one that we delayed back in June. We were planning to do some work. Ladd, you want to comment on where?
Ladd R. Hall - Executive Vice President: Yeah. We were planning doing some work at Crawfordsville, Indiana plant by end of spring, we skipped that. We decided to do a mini four-day outage this quarter. We'll probably still have a regular schedule on some time next late fall or early winter. But that's the only plan that we have right now .
John J. Ferriola - Chairman, President & Chief Executive Officer: And to answer your question direct, we aren't anticipating changing of our – any of our maintenance shutdowns to deal with the issue. We don't think it's – we need to do that at this time.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: How long do you think, based on your field buyers, can hold off in terms of wanting to enter this standoff we're hearing about and seeing in the marketplace?
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, I can't answer that question. That's a question more for the buyers, but what I will point you to is when you take a look at the months on hand numbers, they're extremely low. When you talk about across all sheet products, months on hand is about 2.0, that's extremely low. We suspect that if you break that down, when you look at cold-rolled and galvanized, probably a little bit under that, maybe 1.6, 1.7, 1.8, so hot band might be somewhere around 2.2 or something in that area. All of that said, that's still an extremely low number. Now, certainly buyers are hesitant to buy right now, there's a lot of things going on, but we think that as things settle down, as people start coming back from the vacations and they begin to look at what their plans are to the rest of the year, we expect them to buy – to get back into the game.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: I appreciate all that color. And one of your competitors yesterday talked about some pre-buying in long products in the second quarter with maybe a little hangover effect in 3Q. I didn't seem to see that in your numbers. I think the bar and structural volumes are fairly consistent quarter-on-quarter. Anything that you could comment on there in terms of your business and that sort of comment?
James R. Darsey - Executive Vice President, Bar Products: Yeah. Phil, this is Jim Darsey. And while there were a little orders advanced in the second quarter, we see demand in the third quarter for merchants being steady, driven primarily by the continued growth in non-residential construction and the 2.7-month service center inventory. So, they are buying. And on the rebar side, demand – even though we have a lot of imports coming into the country, demand is fairly strong driven by construction. So we see rebar demand continuing, see a little price pressure there, and merchant bar just will continue on pretty stable.
John J. Ferriola - Chairman, President & Chief Executive Officer: And I would add to that Jim, if I could.
James R. Darsey - Executive Vice President, Bar Products: Yeah.
John J. Ferriola - Chairman, President & Chief Executive Officer: That the fact that on the rebar, we do see a little bit of challenge there as you mentioned, because of the imports. So we remember that we have a downstream business that consumes about 1.4...
James R. Darsey - Executive Vice President, Bar Products: Yeah.
John J. Ferriola - Chairman, President & Chief Executive Officer: ..million tons in terms of our rebar, which puts us in on a really good position in terms of our rebar generation of sales.
James R. Darsey - Executive Vice President, Bar Products: Yeah, good point, John. Thank you.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Any comments you can make Jim or John on the structural business...
Chad Utermark - Executive Vice President-Beam & Plate Products: Hey, Phil. This is Chad.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Hey, Chad.
Chad Utermark - Executive Vice President-Beam & Plate Products: Like Jim – and like Jim said, on the structural side of the business, as we head into the third quarter, demand is relatively flat, and we go in with a decent backlog. So, I would say, it's pretty much steady as we look forward.
John J. Ferriola - Chairman, President & Chief Executive Officer: And we are excited to begin to introduce our new products, our new – our piling sections will be coming out in the second half. The two remaining piling sections will be coming out during the second half of the year. And we are really excited to be able – to be introducing our QST product in the near future. That's going to be a big plus for our structural mills.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Thanks everyone for the thoughts. Appreciate it.
Operator: We'll take our next question from Aldo Mazzaferro with Macquarie.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Hi, John. How are you?
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, Aldo. Thank you. How are you?
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Good, thanks. So, I wanted to ask a couple of questions. One, on the scrap business, and then on a couple of your growth initiatives. On the scrap side, since you have much more of a brokerage distribution setup, rather than shredding domestically and things like that, I'm wondering, does that give you an advantage to buy foreign scrap that other domestic scrap players might not be able to take advantage of...
R. Joseph Stratman - Executive Vice President, Business Development: Hi, Aldo. This is Joe Stratman.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Yeah.
R. Joseph Stratman - Executive Vice President, Business Development: We certainly see it as an advantage. We do have an international reach through our brokerage team, our DJJ brokerage team. And we can bring scrap in from virtually all over the world, and we can bring scrap substitutes in from virtually all over the world. The advantage clearly is it provides us a great deal of flexibility to use all the resources across the globe to get the most cost-effective source of a raw material to, at times, that will be domestic scrap, at times, it will be international scrap substitutes. So, we certainly believe it's an advantage, and we certainly use it to our best advantage.
John J. Ferriola - Chairman, President & Chief Executive Officer: And not just on iron, that's right, we also do it on...
R. Joseph Stratman - Executive Vice President, Business Development: Yeah, we do the same thing, again, through the DJJ team, in cooperation with our steel mills. We do that also on ferro-alloys.
John J. Ferriola - Chairman, President & Chief Executive Officer: And that's what we're looking for. And bear in mind that in addition to processing and brokerage D.J. Joseph also has other businesses that serve us well. And their railcar businesses, I think, plus for us, that gives us some advantages. And I've always said this, and I still believe that D.J. Joseph is not just a scrap company, and a brokerage company, and a rail company, more important than anything for us, it's an information company. And they do a great job of extracting the price of iron units and alloys worldwide and helping us to understand what's going on in other countries in terms of consumption of product by the amount of fine units that are being consumed, alloys that are being consumed. So, it's a great information company that serve us extremely well
R. Joseph Stratman - Executive Vice President, Business Development: John, I think I'd add one other thing to that. One other advantage that compliments that is a large percentage of our steel mills have deep water access, so not only do we have the brokerage arm that can buy it, but we have a efficient way logistically to get into our facilities.
John J. Ferriola - Chairman, President & Chief Executive Officer: That's great...
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Yeah. So, two other little questions, John, on the investment you made, the JFE joint venture in Mexico. Could you say why it's Central Mexico rather than Northern, and where would the substrate come from?
John J. Ferriola - Chairman, President & Chief Executive Officer: Certainly, I can tell you why Central America – I said, Central Mexico, excuse me, that's because that's where the customers are. We put the plant where the customers are. When you look at where the quality automotive companies are locating their production facilities, it's right in that same area, around León and surrounding communities. So, we're placing this – we haven't decided exactly which town to put it in, but we're placing it in a location that's frankly surrounded by new automotive company – new automotive production that's coming in, around there. In terms of the substrate, about 50% of the substrate or 200,000 tons will be coming from Nucor, and 200,000 tons will be coming from JFE.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Great. And then, one final one, John. On the little plating that you bought in Texas, $29 million of nice price. I'm wondering, do you have to spend any significant capital to get that running the way you want to?
John J. Ferriola - Chairman, President & Chief Executive Officer: Let me say, I don't refer to it as a little plate company in Texas. Let me say, great plate company in Texas. And I'm very glad that you asked this question, because I want to take just a minute and to welcome all of our new teammates from Longview, Texas into the Nucor family. So, and then you who are listening to the call today, we're excited to have you onboard. Welcome. I want to tell you, I was at that facility yesterday to – frankly, to welcome everyone into the company, and to hover around and walked around that facility, that's a great – it's a great facility. We've had it at a very good price, okay, a very fair price. And if you work it out, it's about $161 a ton for a plate mill, and that's pretty good price.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Okay.
John J. Ferriola - Chairman, President & Chief Executive Officer: Why do we – why are we doing this? Well, there's a lot of good reasons, number one, and Chad, you can jump in if I miss any here – but number one, just from a sizing perspective, it really fills a void that we've had in our portfolio. We want to be able to offer our customers a full range of plate products. And currently today, we go up to, I think, I'm going to get right, correct me, if I'm not, three inches in thickness and 128 inches in width. And with the facility Longview – we call Longview , okay, we'll be able to go up to 12 inches. And I believe it's 138 inches in width. And beyond that, because they utilize what's known as a bottom chord ingot process, okay, you get extremely clean steels that allow us to sell into many, many high-quality, high-margin applications: military applications; naval applications; airplanes, I think they may break brackets for some of the airplane applications. Grade market, they go into well, heavy equipment market they go into. And then efficiency of production, they have an incredible heat treating and annealing operation. And if I have it correct, I think it's 18 heat treating facilities or, I think, bottom furnaces for heat treating. And I'm going to tell you why, I spent – I visited there a couple of weeks ago. And I was asked again yesterday, as the goal, I mentioned all the great equipment they have, more importantly than any of that, they've got a great workforce, their culture is fantastic. It's a great cultural fit with Nucor. And if you can't tell by the tone in my voice, I'll tell you, I am really excited to have them join the Nucor team.
Chad Utermark - Executive Vice President-Beam & Plate Products: This is Chad Utermark. Just to add on to what John said about the specialty products that this mill is capable of making into these valuable niche markets – more value-added markets that we want to penetrate. I'd be remiss if I didn't mention our current North American commercial footprint that we already have in place and this great relationship we have with plate customers all across the United States, we're going to be able to bring this product to market very quickly. And like John said, I'm excited to have this asset, but more importantly, the team that's down there, what a great group of men and women, and we're excited about moving forward.
John J. Ferriola - Chairman, President & Chief Executive Officer: And you asked about capital. Frankly, there'll be some capital that we'll put in there – it'll be minus, as we get to know more about business. And we see new applications, we might be adding something down the road. But when I look beyond any major influx, they've got a good facility, they run it well, and we don't see major capital going into it. It's certainly doesn't require.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Thank you, John. Thanks. Congratulations on a good purchase.
Operator: We'll take our next question from Alessandro Abate with Berenberg.
Alessandro Abate - Joh. Berenberg, Gossler & Co. KG (United Kingdom): Good afternoon, gentlemen. I have just one question, which is related to the one that my colleague just asked, related to the acquisition of the heavy plates from Joy Global. How does it fit into your portfolio, if you can actually give us a recap of the heat treating capacity that you have within your mills, and what this acquisition may mean in the middle of – because, clearly, in the U.S. the plate market is the one that's suffering the most of the capacity and weakness in the line segment. In this respect, do you see any kind of potential consolidation among the plates division of your competitors. Thank you.
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, we can't comment on what our competitors are going to do, but I'll be happy to comment on your question about how does that fit in with our organization. Well, we talked a little bit about it in terms of just – in top of markets and more challenging markets, what you want to have is additional products that fit into niche markets. And that's exactly what we're buying here, or we have here. As we mentioned, several of the applications, these are really high-quality specialized application. We're talking about brackets that go on the airplanes for the landing gears. That's kind of important. And I want to just fill a little bit more on what Chad said also that, look, we're going to have tremendous commercial leverage here. We sell nationwide. We've got a great commercial team out there selling plate. It wasn't the focus of Joy Global, so they didn't have the same focus on selling it outside their internal needs, and we do. So, we're going to be taking the commercial leverage for a whole another level. And just one final point that I would make in that decision, it might be weak right now, and well, frankly, it's not that weak, okay. But, we do all the – those investments that we make up for the long-term profitable growth of our company, and we wanted to be sustainable. And, we believe that the best way to do that is to continue to grow our diversity, continue to grow our market leadership position in the markets in which we participate and this fills those builds perfectly.
Alessandro Abate - Joh. Berenberg, Gossler & Co. KG (United Kingdom): Thank you. Just – if I may, just a quick follow-up. Can you just remind me how much you have in terms of heat treatment capacity and the quench and temper plates for the mining industry.
John J. Ferriola - Chairman, President & Chief Executive Officer: Well. We would – we can't, I don't know the number for exactly – given the new acquisition – without the new acquisition.
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: Without the new acquisition, it's 240,000 tons.
Alessandro Abate - Joh. Berenberg, Gossler & Co. KG (United Kingdom): Okay. Thank you very much. And congratulations on the purchase. It's really a great deal. Thank you.
John J. Ferriola - Chairman, President & Chief Executive Officer: Thank you.
Operator: We'll take our final question from Andrew Lane with Morningstar.
Andrew Lane - Morningstar Research: Hello, good afternoon. A couple of DRI-related questions, as usual. First, if you were to take a step back and look at the Louisiana DRI project from a big picture perspective, how did your outlook changed over the last year regarding what benefits it might ultimately provide in sort of a mid-cycle environment? It seems like we have come a long way from when it was nearly idle after some maintenance last year.
John J. Ferriola - Chairman, President & Chief Executive Officer: Well, I will start, and Ladd you can jump in here. Clearly, when we started up, as we do it with many new facilities, there's a learning curve. There tends to be some challenges on equipment, there were, in this case. Actually that had nothing to do with the technology. We still have a great deal of confidence in the technology. This was an exemplary piece of equipment. And we even saw the issues, I guess, here. So, we got – we worked our way through the equipment issues. And now, I would say, that it's fitting into our strategy exactly the way that we anticipated it fitting into. It increases the flexibility of our raw material strategy. Remember that – and I know, you all probably know this, but remember that when you look at iron units, it represents about 60% of our total cost of production, that's a huge portion of our total cost of production. So, the more flexible we are, the bigger the basket of choices we have to use when we select the lowest cost mix to put into our furnaces. It gives us a tremendous cost advantage to our competition. And we still feel very strong, and this was a great long-term investment. I'll remind everyone once again that we did build Louisiana with the infrastructure to support a second facility. And I'm convinced that long term, okay, as we continue to see prime scrap become more difficult to obtain and degrade in terms of the quality of the – a prime scrap that's available for our furnaces. And as we continue to move further and further up into the high quality products, where we need more and more virgin or very pure iron units, I'll tell you what, we're going to be very glad that we have this, and we're finally going to be looking to add some more.
Ladd R. Hall - Executive Vice President: Maybe just one comment to that, John. And although we're very excited to see the divisions profitable, sometimes, I think we lose sight of the fact what it does for our steel mills, as far as moderate their costs and allow them, as John has talked about, be significantly more flexible than they've ever been before. So, it's not just a benefit to the DRI plants, it's a huge, huge benefit across our consumer mills.
Andrew Lane - Morningstar Research: Okay. Great. And...
R. Joseph Stratman - Executive Vice President, Business Development: And Andrew, I'll add one more comment, if I could, this is Joe Stratman. Your question really said it right? How does it look mid-cycle, which is we're entering more of a mid-cycle, where the prime scrap – the cut scrap spread is starting to get back to historical norms. And as John said, the quantity and quality of prime scrap in the United states will continue to deteriorate. That mid-cycle comment of yours is spot on, that we're starting to hit the sweet spot of the value of what that DRI plant could do for us.
John J. Ferriola - Chairman, President & Chief Executive Officer: And as we go from mid-cycle to long cycle you can get better, so...
R. Joseph Stratman - Executive Vice President, Business Development: Amen. All right.
John J. Ferriola - Chairman, President & Chief Executive Officer: Thank you for your question.
Andrew Lane - Morningstar Research: Could you update us on the current utilization rates, at both Trinidad and Louisiana as well?
Ladd R. Hall - Executive Vice President: This is Ladd, we're full.
Andrew Lane - Morningstar Research: Okay. And then...
John J. Ferriola - Chairman, President & Chief Executive Officer: Still running for both facility.
Andrew Lane - Morningstar Research: And then maybe I missed it earlier, but just finally, could you remind us on your 2016 CapEx guidance please?
James D. Frias - Chief Financial Officer, Treasurer & Executive VP: It's $500 million.
Andrew Lane - Morningstar Research: Okay. Thank you very much.
Operator: This concludes our question-and-answer session. Mr. Ferriola, I'd like to turn the conference back over to you for additional and closing remarks.
John J. Ferriola - Chairman, President & Chief Executive Officer: Thank you. Let me conclude by saying as I always do, thank you to our customers. We really appreciate your business. Thank you to our shareholders, we appreciate your ongoing confidence and your support. And I want to say thank you to my Nucor teammates for creating customer value, generating attractive shareholder returns and building a sustainable future for all of us. And most importantly, thank you, all, for doing it safely. Thanks for your interest in Nucor. Have a great day.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.